Operator: Welcome to the MBIA, Inc. First Quarter 2018 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead.
Gregory Diamond: Thank you, Mariah. Welcome to MBIA's conference call for our first quarter 2018 financial results. After the market closed yesterday, we issued and posted several items on our Web sites, including our financial results press release, 10-Q, quarterly operating supplements, and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the Company’s 10-K, 10-Q and other SEC filings, as our Company’s definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and 10-Q as they contains our most current disclosures about the Company and its financial and operating results. Those documents also contain information that may not be addressed on today’s call. The definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K and 10-Q as well as our financial results press release and our quarterly operating supplements. The recorded replay of today's call will become available approximately two hours after the end of the call, and the information for accessing it was included in yesterday's financial results press release. Now, I will read our Safe Harbor disclosure statement. Our remarks on today's conference call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Q which are available on our Web site at MBIA.com. The Company cautions not to place undue reliance on any such forward-looking statements. The Company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate. For our call today, Bill Fallon and Anthony McKiernan, will provide some introductory comments. Then a question-and-answer session will follow. Now, here is Bill Fallon.
William Fallon: Thanks, Greg. Good morning, everyone. Thanks for joining us today. During the first quarter, we continue to focus on our priorities of remediating our Puerto Rico credits and managing liquidity and capital. While there has been considerable news coverage on various topics related to Puerto Rico over the last two months, in our view, there have not been many concrete developments. For the quarter, we increased the probability weighting of certain loss scenarios to reflect the court ruling with respect to the payment of special revenue bonds during the pendency of bankruptcy, as well as continued uncertainty regarding the scope and timing of federal aid Puerto Rico can access to rebuild in the aftermath of hurricane Maria. These were the primary reasons for the increases to National's loss reserves for the quarter. In April, the oversight board rejected the government's fiscal plans and certified their own fiscal plans for the Commonwealth, PREPA, and the Highway and Transportation Authority among others. We believe that the new certified fiscal plans still fail to properly comply with PROMESA's requirements to respect lawful liens and structures as specified in the Puerto Rico debt indentures into appropriately incorporate a right sizing of the government. We remain committed to working constructively and collaboratively with Puerto Rico and the oversight board, but simultaneously we intend to vigorously pursue, as necessary, our rights and remedies as an insurer of those bonds. Last month the Department of Housing and Urban Development approved $18. 5 billion in aid for Puerto Rico, largely for rebuilding housing and infrastructure on the Island. Reports have stated that the HUD funds can be used for housing, economic development and infrastructure, which may include repairs to the Island's power grid. The other credits in our insurance portfolios continue to perform in line with our expectations. National's insured portfolio has further reduced to $67 billion gross par outstanding at the end of the quarter. This leverage ratio of gross par to statutory capital was 24 to 1, down from 26 to 1 at year-end 2017. Turning to other matters. During the first quarter, National spent $14 million to buy 2 million shares of MBIA's common shares at an average price of $7.25 per share. We continue to believe that repurchasing our shares at attractive prices is an effective way to increase long-term value for our shareholders. As of May 3, we had $236 million remaining under our existing share repurchase authorization. For the first quarter, we reduced consolidated operating expenses to $20 million which was a 31% reduction versus last year's first quarter and puts us in good position to accomplish our objective of operating expenses of less than $80 million for the year. After the quarter end, MBIA Insurance Corp. announced that it reach the settlement with Lynn Tilton and other parties, which if approved by the bankruptcy court, should result in a process to facilitate a repayment of almost $1 billion and insurance claims paid by MBIA Insurance Corp. on the two Zohar transactions. The hearing to confirm the settlement is scheduled for May 18. Now Anthony will cover the financial results.
Anthony McKiernan: Thanks, Bill, and good morning, everyone. I will summarize our first quarter GAAP and non-GAAP results, the holding company's liquidity position, and then finish with key financial statutory metrics for National and MBIA Corp. The company reported a consolidated GAAP net loss of $98 million or negative $1.12 per share for the first quarter ended March 31, 2018 compared to a consolidated GAAP net loss of $72 million or negative $0.55 per share for the quarter ended March 31, 2017. Losses before income taxes for the first quarter of 2018 declined to $96 million versus losses of $120 million for the first quarter of 2017. Lower loss in LAE expense at MBIA Insurance Corp. and favorable mark-to-market changes were partially offset by lower investment income and premium earnings, as well as higher loss in LAE expense at National. The adverse after quarter -- the adverse after tax quarter-after-quarter result was primarily due to an increase in our deferred tax valuation allowance this quarter, which offsets the tax benefit of our pre-tax loss. As a reminder, we began recording a full valuation allowance on the DTA in the second quarter of 2017. Adjusted net loss or non-GAAP measure for income was $61 million or negative $0.69 per diluted share for the first quarter of 2018 compared with adjusted net income of $9 million or $0.07 per diluted share for the first quarter of 2017. The unfavorable change was primarily due to higher loss and loss adjustment expenses at National related to its insured Puerto Rico exposures and lower premium earnings. Book value per share was $13.97 as of March 31, 2018 versus $15.44 as of December 31, 2017. Our adjusted book value, a non-GAAP measure that management believes provides a better representation of the fundamental value of the company was $28.60 per share as of March 31, 2018 versus $29.32 as of December 31, 2017. The decreases in both book value per share and adjusted book value per share since year-end were primarily due to the net loss for the quarter, partially offset by a reduction in shares outstanding resulting from the repurchase of 2 million MBIA Inc. common shares during the quarter. As Bill stated, the average purchase price for the shares were $7.25 and we’ve $236 million remaining on the $250 million share repurchase authorization approved by the Board in November 2017. On April 16, we filed an 8-K that reported that we issued 1.2 million of MBIA common shares in connection with the exercise of warrants related to 9.9 million of MBIA's common shares. Those warrants were subject to expiration in early May and were exercised based on the closing price of MBIA stock on April 12. The contract called for a non-cash net settlement of the transaction, which resulted in the issuance of 1.2 million shares. For our additional warrants outstanding related to 1.9 million shares of MBIA stock that have comparable terms and are subject to expiration in early August of this year. As of May 3, 2018, there were 90.5 million shares of MBIA common outstanding. Turning to the holding company. The corporate segments total assets at March 31, 2018 were $1.2 billion. Of the total, over $550 million in market value assets were pledged to the GICs and interest rate swaps supporting the GIC operation. $108 million represents the tax escrow deposit of National's tax liability for the 2016 tax year and $419 million was cash and liquid assets held by MBIA Inc. As we mentioned on our last call, due to National's net loss in 2017 there are no deposits in the tax escrow account for the 2017 tax year. Most of National's 2015 tax payment was returned to National and $18 million was released to the holding company. In the first quarter, MBIA Inc. repurchased $20 million par for the MBIA Global Funding, MTN, maturing in July 2018 effectively at par but sparing the remaining unpaid coupons. The Holding Company currently has enough cash and liquid assets to cover operating expenses and debt service into 2022 from the next significant maturities of holding company and GFL debt are due. Turning to the operating company's statutory results. National had a statutory net loss of $1 million for the first quarter of 2018 compared to statutory net income of $32 million for the prior comparable quarter, primarily due to $43 million of loss in LAE, largely for certain of its Puerto Rico exposures. National maintain statutory capital of $2.7 billion and claims paying resources totaling $4.1 billion as of March 31, 2018. It paid $69 million of gross insurance claims for Puerto Rico bond payments during the quarter. The total fixed income investment portfolio including cash and cash equivalents had a book adjusted carrying value of $3.4 billion as of March 31. Turning to MBIA Corp., it's liquidity was $130 million as of March 31, 2018. It had a statutory net loss of $10 million for the first quarter of 2018 compared to statutory net income of $178 million for the first quarter of 2017. With the unfavorable variance primarily due to gains related to the sale of MBIA U.K in 2017 somewhat offset by lower loss in LAE expense in 2018. As of March 31, 2018, the statutory capital of MBIA Insurance Corp. was $455 million and claims paying resources totaled $1.5 billion. And now we will turn the call over to the operator to begin the question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bose George of KBW.
Bose George: Yes, good morning. First just on the realized losses this quarter, actually what was driving that and how much of that was at Corp. versus National?
William Fallon: The majority of it was at National and it was just sale of securities at a loss.
Bose George: Okay.
William Fallon: As we mentioned in [indiscernible].
Bose George: Okay. It makes sense. Thanks. And then, in terms of the Zohar benefit that you discussed, is that fair to say that the upside there's really to Corp. and to MZ Funding, and so from -- in terms of the OpCo, we shouldn’t really worry about that?
William Fallon: That’s correct. It's for the benefit of MBIA Insurance Corp.
Bose George: Okay. And then just switching to Puerto Rico, the -- what Puerto Rico related events are you guys focused on over the next couple of quarters in terms of things that could drive the reserve in either direction?
William Fallon: Obviously, we would hope that there would be a series meetings, negotiations, mediation with regard to restructuring all the debts in Puerto Rico. On the absence of that, it really is some of the hearings in the court in front of judge Swain that we will be looking at, but those are pretty well spaced out over the next several months.
Bose George: Okay. Thanks. And then -- actually just one on your reserve. Your reserve relative to your notional risk remains lower than some peers like AGO. Can you just talk about some of the qualitative differences that could drive some of that?
William Fallon: Yes. First of all, I think it's hard to know exactly what AGO's total reserves are or what our total reserves are. As we stated in the past, we don't specify relating to any specific credit what the reserve is for various reasons. I think there are some differences in terms of the credits. I think generally speaking, Assured and MBIA to the best of my knowledge have a significant amount to similar credits, for example HTA, PREPA, but different amounts, we have more, I believe in the PREPA, they have more in HTA. We have more senior COFINAs. I don’t think they have any senior COFINAs. We both have GO. They have PRASA, we don’t. So there are some differences, but I think as you know we go through under GAAP, the requirement for these scenarios and the probability weighting and come up with the reserves each quarter for each of the credits.
Bose George: Okay, great. Thanks.
Operator: Our next question comes from the line of Andrew Gadlin of Odeon Capital Group.
Andrew Gadlin: Good morning. Can I ask what drove the increased loss reserves at National this quarter? Bond prices were generally higher. So I’m just wondering what you were looking at that drove those higher reserves?
William Fallon: Yes, there's probably several small things that aren't necessarily significant in themselves. The one, though that we do point to is in the HTA case there was a ruling that we have appealed with regard to special revenues. And in the past, in other municipal bankruptcies, those revenues have gone to pay debt during the pendency of the bankruptcy. And Judge Swain ruled that would not be the case here regarding HTA. Again, we disagree and we will appeal that and have appealed. But the fact of the matter that means that we will be paying claims as long as the bankruptcy continues on that credit.
Andrew Gadlin: And then, can you disclose what your aggregate Puerto Rico loss reserves are? Obviously, you want to buy credit, but can you say what it is in the aggregate?
William Fallon: Yes. We, as you know, reserve every quarter and go through the Puerto Rico credits, but we do not give the aggregate amount at any point in time even for all the credits.
Andrew Gadlin: Okay. And then, couple of smaller questions. The share buyback program was not used to the same extent it has been recently. Can you talk about that decision?
William Fallon: Yes, we continue to look at the stock we have as we’ve mentioned, considerable authorization remaining to repurchase shares. I think when we bought a significant amount in the fourth quarter of last year, we bought a price -- an average price that was under $7.50. The stock has been meaningful -- meaningfully above that since then, while we don’t have any set price. Obviously, we would prefer to buy at lower prices than higher prices. So we continue to evaluate it. We view it as very dynamic situation. And again, we do believe that repurchasing shares at attractive prices is a good lever for our long-term shareholders.
Andrew Gadlin: Great. And then on Corp., Anthony, you mentioned have $130 million of liquidity. I see that in the operating supplement, but I also see in a different page about $150 million of cash and short-term investments. What's the difference there?
Anthony McKiernan: There are some requirements we have from Capital Holding standpoint related to some -- to our foreign operations, so there's a little bit of required capital there. So we try to strip that out for pure liquidity.
Andrew Gadlin: Got it. And then, the balance of medium-term notes increased by about $25 million quarter-over-quarter from $765 million to $790 million, despite the fact that you bought in $20 million of MTN. What’s going on there?
Anthony McKiernan: We had FX changes and some CDS on Inc. as well, but primarily it was FX.
Andrew Gadlin: Okay. All right. Thank you very much.
Operator: Our next question comes from the line of John Staley of Staley Capital Advisers.
John Staley: Do you have any update on the litigation with Credit Suisse?
William Fallon: The only update we have is that Justice Kornreich, who was overseeing the case for the years that this case is going on, has announced retirement. So at this point, we are waiting for a new judge to take the case. That’s the only update we have at this point.
John Staley: Do you think the settlement announced this morning by RBS with the government has any impact one way or another on yours?
William Fallon: We don’t really have a comment on that, hard to know.
John Staley: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Geoffrey Dunn of Dowling & Partners.
Geoffrey Dunn: Thank you. Good morning. You’ve addressed my question on the loss side. Can you just -- I want to back check my math on National's capacity for continuing to buy stock. What is your estimate of the remaining ability from first quarter financials?
Anthony McKiernan: Well, first of all, just from an authorization standpoint, we have $236 million, and that’s what we’re authorized to repurchase of this time. Beyond that, there is an ample amount of capacity related to our surplus that we can purchase if we chose to do so.
Geoffrey Dunn: I believe it's just a financial equation, right? So do you have that math available or not?
William Fallon: It's 35% of surplus, Geoff.
Geoffrey Dunn: Okay. Thank you.
Operator: [Operator Instructions] I'm showing no further questions at this time. I will turn the floor back over to management for any additional or closing remarks.
William Fallon: Thank you, Mariah. And thanks to those of you for listening to our call today. Please contact us directly if you have any questions. We also recommend that you visit our Web site at MBIA.com for additional information on the company. Thank you for your interest in MBIA. Good day and good bye.
Operator: Thank you ladies and gentlemen. This does conclude today's conference call. You may now disconnect and have a wonderful day.